Operator: Ladies and gentlemen, at this time I would like to welcome everyone to the Resideo Technologies Fourth Quarter 2022 Earnings Conference Call. Today’s call is being recorded. All participants will be in a listen-only mode until the formal question-and-answer portion of the call. It is now my pleasure to turn today’s call over to Mr. Jason Willey, Vice President of Investor Relations. Mr. Willey, please go ahead, sir.
Jason Willey: Good afternoon, everyone. And thank you for joining us for Resideo’s fourth quarter 2022 earnings call. On today’s call will be Jay Geldmacher, Resideo’s Chief Executive Officer; and Tony Trunzo, our Chief Financial Officer. A copy of our earnings release and related presentation materials are available on the Investor Relations page of our website at investors.resideo.com. We would like to remind you that this afternoon’s presentation contains forward-looking statements. Statements other than historical facts made during the call may constitute forward-looking statements and are not guarantees of future performance or results and involve a number of risks and uncertainties. Actual results may differ materially from those in the forward-looking statements as a result of a number of factors, including those described from time-to-time in Resideo’s filings with the Securities and Exchange Commission. The company assumes no obligation to update any such forward-looking statements. We identify the principal risks and uncertainties that affect our performance on our annual report on Form 10-K and other SEC filings. With that, I will now turn the call over to Jay.
Jay Geldmacher: Thank you, Jason, and good afternoon, everyone. 2022 was a year of historic market, geopolitical and macroeconomic conditions. We navigate these challenges to deliver record full-year revenue and operating income. However, business conditions around our residential end markets softened as 2022 progressed. Given this, we've taken actions to reduce cost and ensure we are both protecting near-term profitability and positioning the business for long-term success. While the macro conditions remain dynamic, we believe our OEM and distribution customers have made substantial progress in rightsizing their inventories. We expect Q1 will mark the low point in terms of destocking impacts and we expect to build from that base as 2023 progresses. We expect that cost actions and improving customer inventory situation, coupled with growing momentum in new product activity and products and solutions, will position us for improved financial performance as 2023 progresses. Late in the year, we respond to the evolving market conditions by taking action to reduce costs and initiate manufacturing optimization work. This includes action that are expected to result in an approximate 5% decrease in Resideo’s global workforce. These measures will further focus resources on advancing strategic initiatives and better positioning Resideo to scale with future growth. We are working aggressively to ensure the business is sized and focused appropriately to deliver strong profitability and cash flow. For 2022, Products and Solutions delivered record revenue up 13% year-over-year as we added First Alert and drove strong price realization across the portfolio. We grew our position in the connected thermostat market in both the distribution and retail channels, expanded content with builders in the new construction channel and grew our presence at a number of key OEMs, all positioning the business for future growth. We saw significant returns from investments in pricing and sales force tools and training. This is visible in our strong price realization activities throughout 2022 and a meaningful increase in average revenue generated per salesperson. These investments are further enhanced by the increased customer engagement driven by our brand ambassador program and business development efforts. We significantly advanced the ball on our software platforming efforts, our critical building block as we look to accelerate partnerships, leverage our hardware leadership to support value-added services and reduce development time and support costs. This work is reducing the number of internal back -end platforms our products run on top of and providing simpler ways to interface with our products. We acquired First Alert, a leading smoke and carbon monoxide sensing provider at the end of Q1 2022. And we are pleased with the financial performance and integration of the business. We have already driven new commercial opportunities around cross-selling into our distribution channel, achieve deeper builder penetration and improve positioning with key retailers. Over time, we will add more connectivity into the First Alert portfolio and see significant opportunity from further integrating First Alert with our traditional security business. In late December, we acquired [Technique] (ph) adding a new sealant-based team of engineers with significant capabilities in sensors, optics and AI-enabled video solutions. The team brings a track record of innovations in sensors, optics and processors along with deep relationships with silicon and original design manufacturer partners. These capabilities will help advance our security video strategy and help accelerate our focus on providing actionable intelligence for end users. ADI had another great year in 2022 with revenue growing over 6%, gross margin up 130 basis points and operating income up 17%. 2022 marked the 12th consecutive year that ADI has grown its revenue year-over-year a testament to the execution of the entire ADI organization and the attractiveness of the markets they serve. ADI saw continued strength in its commercial categories and has worked hard to deliver for customers in a challenging supply chain environment. At the same time, ADI continues to execute on expanding its e-commerce and digital capabilities, enhancing its exclusive brands offerings, and investing in tools to drive sales force efficiency. ADI reached total touchless sales of 37% for 2022, and crossed the 20% of total sales threshold for e-commerce revenue in the fourth quarter. We are also leveraging these digital investments to offer customers and suppliers cloud-based AI-driven data analytic tools. These tools provide contractors and suppliers better understanding of their sales and inventory through customized reporting and access to granular data. This creates a new subscription revenue opportunity for ADI and provides differentiation as we look to drive share of wallet with customer. Exclusive brands revenue grew 25% in 2022 and remains a significant long-term revenue and margin enhancement opportunity. We launched over 250 new SKUs and three new brands during 2022. Capture Advance, which includes NDAA compliant video of wire for AV and datacom equipment and ADI Pro for wire access control and accessories. We will continue to build upon these offerings in 2023 and see meaningful revenue expansion opportunity for new SKUs and sales initiatives. ADI continues to execute on the strategy to expand into adjacent AV and Datacom markets. These categories accounted for over $500 million of revenue in 2022, up 20% year-over-year. Building on this momentum, in mid-January of this year, ADI added new capabilities with the acquisition of BTX Technologies. BTX is a specialist professional AV distributor with datacom capabilities in sourcing custom fiber assemblies, filling a hole in our value proposition to customers in the datacom and AV market. With that, I will turn the call over to Tony to discuss fourth quarter performance and 2023 outlook in more detail.
Tony Trunzo: Thank you, Jay, and good afternoon, everyone. Fourth quarter revenue of $1.56 billion, was up 7%, compared to Q4 last year. Excluding $139 million from acquisitions and approximately $46 million of negative foreign exchange impact. Fourth quarter revenue grew by approximately 1%. Gross margin for the quarter was 27.6% flat with last year's fourth quarter, while operating income of $98 million, compared to $141 million last year. Included in our fourth quarter operating expenses was a $35 million charge for restructuring and related asset impairment. These restructuring actions, which include headcount reductions, initial factory optimization work, corporate functional rationalization, reduced third-party spend and general G&A cost reductions are expected to generate in year savings of $16 million in 2023. Associated cash costs in 2023 are expected to be approximately $25 million spread throughout the year. Products and Solutions fourth quarter revenue of $693 million was up 9%. Excluding $116 million from First Alert, and approximately $35 million of unfavorable foreign exchange impact revenue declined approximately 5%, compared to last Q4. Price realization added approximately $35 million to revenue year-over-year, while aggregate volumes declined approximately 10%. Volumes were impacted by distribution and OEM customers continuing to adjust inventory levels. Our security revenue in Europe was down in Q4 and lower year-over-year 3G radio migration affected U.S. Security revenue. After the first quarter of this year, radio sales comparables will begin to normalize and we expect to be in market with new security products in key European countries in the second quarter of this year. Products and Solutions gross margin in Q4 was 38.4% relatively flat, compared to last year. Total operating expenses for Products and Solutions were up $44 million year-over-year, due to $18 million in First Alert cost and $29 million of restructuring costs. Products and Solutions operating profit was $96 million or 13.9% of sales, compared with $125 million or 19.7% of sales last year. Excluding restructuring costs, Products and Solutions operating profit was flat year-over-year. First Alert contributed revenue of $116 million and operating income of $12 million in Q4. First Alert exceeded our expectations for both revenue and operating profit in 2022. We achieved in year synergies of $7 million and remain on track to achieve run rate annual cost synergies of at least $30 million by the end of this year. ADI delivered another solid quarter in Q4 with revenue up 6% to $867 million, acquisitions added $23 million of revenue, which was largely offset by approximately $20 million of unfavorable foreign exchange impact. Key commercial categories including fire, video surveillance and access control remained strong in the quarter more than offsetting slower activity in residential security and residential AZ categories. ADI gross margin in the fourth quarter was 19.1%, compared with 19.2% last year. ADI operating profit of $69 million was essentially flat with the prior year. Corporate costs were $67 million, up from $54 million in the prior year fourth quarter. This increase reflects $4 million of restructuring, as well as higher IT and finance costs. Our full-year 2022 corporate spend of $229 million was down 8% year-over-year and over the past three years, corporate costs have declined by 18% from 5.6% of revenue to 3.6% of revenue. Operating cash flow for the full-year was $152 million, compared with $315 million for 2021. Working capital dollars and days rose in 2022. With the addition of First Alert, inflationary impacts in inventory, incremental safety stock and unfavorable changes to some supplier terms, all contributing to the increase. Before turning to our outlook for 2023, I wanted to discuss the decision we made to begin providing selected non-GAAP measures beginning with our first quarter 2023 earnings report. This will allow us to discuss EBITDA, a very common measure of financial performance and manner consistent with many other public companies, as well as provide better clarity on unusual items that may affect our financial results. Our non-GAAP disclosure will include EBITDA, adjusted EBITDA to the extent relevant in any given period, adjusted net income and adjusted earnings per share. Adjustments will be limited in scope and include such items as depreciation, amortization, share-based compensation, significant acquisition related costs and other material unusual items. Turning to our outlook for the full-year 2023, we expect revenue to be in the range of $6.2 billion to $6.55 billion, implied flat revenue at the midpoint. Consolidated gross margin is expected to be in the range of 26.8% to 27.8% and operating profit is expected to be in the range of $625 million to $675 million, an increase of 6% at the midpoint. We expect GAAP earnings per share to be in the range of $1.85 to $2.15. We expect our cash conversion and days of working capital improved in 2023 over 2022. The magnitude and in-year timing of this improvement will be dependent on market and supply chain factors that are still difficult to predict. As is typical, Q1 will be our softest cash flow quarter, due to annual rebate and incentive compensation payments that were accrued in 2022. For the first quarter, we expect revenue to be in the range of $1.52 billion to $1.56 billion. dollars Consolidated gross margin to be in the range of 26.3% to 27.3%. GAAP operating profit in the range of $120 million to $140 million and GAAP earnings per share of between $0.29 and $0.39. Our outlook incorporates further customer inventory destocking in Q1, as well as uncertain demand for residential new construction and renovation activity. We do expect Q1 will mark the low points in terms of destocking impacts on our financial results. Our full-year 2023 revenue outlook assumes mid-single-digit volume declines in products and solutions, partially offset by carryover price impacts and targeted new pricing actions. Products and solutions gross margin is expected to be impacted by lower volumes and continued material cost pressures offset by price realization and restructuring and efficiency actions. For ADI, our 2023 outlook incorporates low-single-digit revenue growth as stability in commercial focused categories is partially offset by continued slower activity in residential categories, including AV and intrusion. ADI gross margin is expected to be roughly flat with 2022 as reduced inflationary benefits are offset by continued progress on pricing optimization, and growth in higher margin exclusive brands. Full-year 2023 consolidated operating expense is expected to be down by approximately $60 million year-over-year. Corporate expenses are expected to be approximately $210 million down from $229 million for 2022. We are continuing to evaluate further cost actions and manufacturing optimization opportunities that would yield further savings and likely result in additional restructuring costs that are not included in this initial outlook. Regarding our 2024 financial targets, as we indicated with our second quarter 2022 earnings, despite significant underlying progress, the impact of supply chain and inflationary pressures have limited near-term Products & Solutions gross margin progress. Given the expected continuation of some of these factors, as well as near-term macroeconomic uncertainty, achieving our 2024 profitability and cash generation targets on our original timeframe is unlikely. We remain committed to substantially improving Products & Solutions gross margins and believe the business is still positioned to deliver mid-single-digit top line growth and low teens operating margin over a longer timeframe. I'll now turn the call back to Jay for a few concluding remarks before we take questions.
Jay Geldmacher: Thanks Tony. As we look to 2023, we are focused on delivering to our financial targets, improving cash generation and accelerating the momentum on key initiatives across the business. We are well positioned to be a meaningful player in attractive market trends around home energy management, energy transitions and the increased focus on physical security and video analytics. Our newly expanded business development organization will enhance these opportunities and is focused on growing share of wallet with major accounts, while opening new partnership avenues and strategic growth opportunities. We're also very excited about an increasing cadence of new product introductions within Products & Solutions as we enter 2023. This includes several connected water leak detection and shut off products, T10 thermostat enhancements, additions to our gas valve portfolio, including entry into the pool heater category, underfloor heating controller and the pro-series security product for EMEA. These launches reflects initial returns from increased investment in our innovation and engineering organizations. As we move through the year and we expect to build momentum in this key area. As we drive growth opportunities, we are committed to managing costs and delivering ongoing margin and cash flow expansion and earnings growth. We are moving forward with manufacturing facility optimization work and product portfolio pruning, which will help us improve margins, focus on core growth areas and maintain supply chain and manufacturing resiliency. At the same time, we remain focused on leveraging our channel strength, product breadth, relationship with the professional and exposure to attractive long-term structural trends to drive revenue expansion and deliver long-term shareholder value. I want to again thank the entire Resideo employee base for their efforts in the quarter and a continued focus on delivering for our customers. This concludes our prepared remarks. Operator, we are now ready for questions.
Operator: Thank you, Mr. Geldmacher. [Operator Instructions] We’ll go first this afternoon from Erik Woodring at Morgan Stanley.
Erik Woodring: Hey, guys. Thank you for taking my questions, I have two. Maybe the first one just on the last comments you made about P&S thinking about it as mid-single-digit growth is still achievable. I guess, I look outside of the 2021 and say P&S has been, kind of, flat to down organically in most years since 2019, and I realize it's been a very unusual, kind of, three to four years with COVID and supply chain and macro. But I guess my question is what actions do you believe need to be taken to get this business back into that more sustainable, again kind of low-to mid-single digit growth range? And then I have a follow-up. Thanks.
Jay Geldmacher: Hey, Eric. This is Jay. How are you? I made a comment towards the latter part of our call about the introduction of new products. And I'm really excited about that because that is one of the pieces of the puzzle that you did -- to answer your question. The velocity and cadence of new products for P&S is very important. And that's why I wanted to highlight that in today's call and that will continue. As we move forward and that is one of the big areas of focus between the introduction of the cadence and velocity of new products, as well as opportunity there along with it for margin expansion.
Tony Trunzo: Yes Erik, it's Tony. Good question, and I guess I'd add that when you look across our portfolio, we see pockets of really strong growth and pockets of real opportunity where we're adding market share. Our OEM business, we're growing market share pretty clearly in our air products, thermostats and filters and zoning equipment, we're adding market share. We have real momentum in a number of places. And over the last few quarters, we have had some headwinds particularly in the security business associated with the rise and then decline of the 3G radio migration that I think probably distorts what is the underlying inherent growth rate that we've seen across the business over the last two or three years. So I think the underlying growth rate is probably a little stronger maybe than what you're seeing just looking at trailing four quarters trends, which is one of the things that I look at. But clearly in order for us to grow faster than the market across the entirety of our portfolio, NPI's going to be a crucial component of that.
Jay Geldmacher: And I'll add one other thing is that on the security thing that Tony brought up, we're going to be introducing the pro EMEA the pro-series that we introduced in the North America has been a strong new product for us and that the pro EMEA one comes out in a few months and that addresses some of the issues that we had in Europe. We have several other new products going into the security portfolio over the next six months that we're excited about. The acquisition of Technique that we've talked about that gives us some additional capabilities beyond our innovation technology and existing engineering organizations is going to provide some really cool things from the standpoint of video analytics, AI and other capabilities that helps accelerate to opportunities there.
Erik Woodring: Awesome. That was super helpful, I really appreciate that kind of color. I guess maybe the second question is just on gross margins, obviously I know this has been a big point of emphasis for you guys and again certain specific headwinds in terms of volumes in 2023. Can you maybe rank order for us what has the most significant or what's the most significant headwind versus what the potential tailwind as we think about 2023? And I imagine most of this is on the P&S side but just correct me if I'm wrong there? Thanks.
Tony Trunzo: Yes. Eric, I'll address both. I'm doing this a little bit off the top of my head, but I think this is correct. Probably the single biggest factor in 2023 is factory deleveraging. Even though we're seeing expanded price, we're going to see unit volumes come down. We've responded to that in this restructuring by addressing some direct labor and some other inefficiencies, but we have not yet been able to really achieve a lot of the factory optimization that we've been pursuing over the -- that we've been talking about over the last couple of years. We did just say that we're doing our first one now and I think we'll be doing more. But we do have somewhat of a rigid cost structure. So the factory deleveraging I think is the biggest one. The second is we're still seeing some inflation in 2023. We're factoring in some element of increasing inflation -- some element of higher material costs. And while we're responding to that with some targeted price action, we're not going to get sort of incremental margin on top of the price that we're putting through at this level and at this stage of the cycle versus the inflation that we're seeing.
Jay Geldmacher: I'd also add, Eric, that we'll be a little careful, because of the fact that even though ’21 and ‘22 as everybody in the world knows was really challenging on the supply chain and material costs, the inflation that increased last year. In certain aspects of that, in certain pockets are getting better in 2023, but there's others that aren't yet as I think most everyone knows. And so we're being careful in terms of the speed of that. I personally think and question that you have as well as some of the other folks that I think that this will continue to improve throughout the year, but timing is going to be when we have [Indiscernible] to watch closely as part of that. So that's all tied to that along with what Tony said.
Tony Trunzo: Yes. And then also maybe to add with respect to ADI, they benefited last year from some inflationary trends in their business. That was about half of their margin expansion for the year. The other half was really through a lot of the initiatives that we've been investing in with respect to that business. Our outlook for this year, kind of, incorporates plus or minus flat margins for ADI. And we see that probably as maybe better than some of the other news in the distribution space, largely because of the levers that we can pull still around price optimization. And as importantly around our exclusive brands, those products have dramatically higher margins than our average and they continue to grow at a much, much faster rates than the overall business?
Jay Geldmacher : By the way, on P&S, one thing I neglected to mention is we continue to see direct labor inflation as well. We have pretty significant factory footprint in Mexico and Mexican wage rates have definitely trended up and that's continuing in 2023.
Erik Woodring: Okay, super. Thank you for the color. And just to mention the ADI performance is very strong for you guys and Rob, I took my cap to you guys.
Jay Geldmacher: You do a great job.
Tony Trunzo: Thanks.
Operator: Thank you. [Operator Instructions] We go next now to Ian Zaffino of Oppenheimer.
Ian Zaffino: Hi, great. Thank you. I just wanted to kind of build on that last question or last answer. What are you assuming for pricing into 2023? And how do you also think about pushing price in the face of declining volumes? I know you're trying to get a material and inflation recovery, but maybe also talk about the competitive environment, maybe your ability to do it in that environment? Thanks.
Jay Geldmacher: Yes. Clearly, I think we -- our expectation is for less in the way of price increases this year than we saw last year and in the latter part of 2021. They'll be targeted. They'll be focused in areas where we're seeing underlying increases in our cost structure. And we're always going to be attuned to the competitive environment and making sure that we put ourselves in a position to remain competitive. I think there's still a lot of inflation in the world, right? I mean, today's inflation numbers were not awesome. And I think there's a general recognition that while maybe getting a little bit better. Inflation hasn't really gone away. But I think you're right. We want to make sure that we're focused on the competitive environment and when we look at that dynamic, the data points that we see indicate that we are incrementally gaining market share. So we feel good about our execution in the market in the environment as well.
Ian Zaffino: Okay. Thank you. And then I wanted to talk or ask you guys about some of the new products a lot of them are in the monitoring category and what should we expect as far as maybe revenues or how is a lot of these new products that you're trying to introduce on the monitoring side? How is that, kind of, tracking your expectations of what you could get maybe recurring revenues to and which we expect this large growth? Thanks.
Tony Trunzo: Yes. I'll make a couple of comments. I suspect Jay probably has some input as well. So Jay kind of gave a little bit of a laundry list. The majority of the products that we talked about just now are connected or connectable, which means that as we build out our overall ecosystem which has frankly been a significant effort internally over the last year and a half with respect to investment, the chunk of our investment in R&D going in that direction. So the thermostat and water leak detection, they're all sort of early pieces of what we are working to develop in terms of it like fully connected ecosystem. There's always going to be new products that are going to come in that are outside of that ecosystem. But the primary thrust is really the -- is really on the connected products. Given that we are building that out sort of piece by piece, there's going to be a -- we think a network effect as we get to a certain critical mass of products where you'll see a more meaningful contribution of revenue. I would point you to the products that we just talked about today as being a key driver to their revenue performance this year, but I think as we look further out and we look to have more and more of our products on that platform, I think a lot of the focus is really going to be on driving revenue across that platform and with more products on it, we think that in and of itself will help to accelerate the revenue.
Jay Geldmacher: Yes, I would say, also Ian, this expansion of the ecosystem that Tony mentioned, and as you know, we've been talking about that material quite a bit over the last year, and even as we've built that out both from a software platform standpoint, we need a hardware to be -- it all drive that and to expand that and in terms of the total offering. And then what does that provide, gives us opportunity as you've just asked a few minutes ago for -- opportunity as well as things that we're doing that we'll talk probably more about it in the months ahead in areas of services. So I think that's why I told you, as I mentioned on the previous question of the other caller, how excited I am that now I really see a velocity change increasing of the cadence of new products coming out and that's how it is so important in terms of the total ecosystem play that I think helps differentiate us in the marketplace.
Ian Zaffino: All right, great. Thank you very much.
Operator: Thank you. We got next out to Paul Chung at JPMorgan.
Paul Chung: Hi, thanks for taking my questions. So just on the manufacturing initiatives, so are you looking to outsource more of the P&S portfolio? Or if you could expand on some of the cost initiatives you're thinking about and the respective impact on longer-term margins and cost saves et cetera?
Tony Trunzo: Sure, it's going from in-source to outsource is part of it, but there are sort of range of activities going from trying to be more efficient in the factories we have to the efforts that we have going on at first or initially around factory automation, which we think is going to is going to create some really great leverage in the cost environment in those factories to certain areas where we will look to outsource. I want to make clear that we've been cautious and are going to continue to be cautious about how and where we outsource being mindful of supply chain resiliency. We have some rigidity in our cost structure, but we also have a pretty good supply chain resiliency today, because of that because we've got a lot of end market factories. And we're going to continue to work to balance the transition to a lower cost footprint, while keeping in mind that resiliency. But there's any number of steps, the one that we reserved for in Q4 is the first and I think clearest opportunity, but there'll be more as we roll through 2023 and ‘24.
Jay Geldmacher: I think I may have mentioned Paul, maybe just very -- at a high level in the last call that there is a number of the factory optimization projects that we actually had built the plans for, but during COVID and during supply chain craziness, we were very cautious not to impact ourselves by moving forward on some of those, because of the risk it provided or the risk that it would have created. And now with us coming out of that of course now it gives us the opportunity to really exercise our playbook in terms of a variety of different things, factory cost optimization, the automation piece that Tony just talked about for First Alert, but automation opportunities and other parts of the company and I'm excited about that too, because it gives us levers that we had to put on the sideline for a while until we're in the position we are now and that the folks that we brought in over the last few years that are very good at that and have a lot of experience in doing that work.
Paul Chung: Great, thanks for that. And then just to follow-up on First Alert, you mentioned the asset performing better-than-expected this year. So what in your mind drove that incremental upside to your original projections? And then how do we think about the momentum of this asset heading into ‘23 and then other assets you may be looking at to complement the portfolio? Thank you.
Jay Geldmacher: I'll comment, Tony will too, because I see him over your way to be down. But the integration, I think what -- better-than-expected. You never know when you do any acquisition, I don't care if it's $10 million, $400 million to $4 billion. Some of the things that are somewhat unpredictable, but I am very pleased to say that the teams both from the First Alert team people of Resideo worked super well together and that's part of the reason why we've been able to outperform some of the things that we had laid out in our original business case. And then from a standpoint of your question about opportunities moving forward in the future. I mean, as you know the types of products in the First Alert portfolio. There are types smoke, carbon monoxide et cetera, they're in the house or in small business offices and there are in many, many different places and so it's additional sensors that are in the building, it comes back to the ecosystem comment that we were talking about before and that gives us opportunity to connect all this in certain products and incorporate new types of things with off the base platforms of those as we move forward. So we're excited about the opportunities there, our innovation and technology group has come up with some pretty cool ideas that we can productize over the years ahead that help us. And then of course, leveraging our channels that we have that are really super important and that's one of the big things that were tied to the -- on the commercial side of things of leveraging the strength of Resideo's very strong commercial channels, our pro network. And so you can hopefully can tell by my voice, I'm pretty excited about what we've done in less than a year and where the future holds.
Tony Trunzo: Yes, the only thing I'd add to all that is there is a transition in the standards requirements for smoke and carbon monoxide detectors that are coming out in the middle of 2024 that we're pretty excited about our position in terms of being able to capitalize on that, we're pretty excited about the product offerings will have in that category that should drive some continued growth as we basically enhance the technology. And to the point Jay made about the additional sensors and real estate and the connected ecosystem, there's a fair bit of work underway now to capitalize on the First Alert products to bring them into that ecosystem. So looking forward, I think that this is an area of real meaningful growth for us.
Paul Chung: Okay, great. Thank you.
Tony Trunzo: Those guys, I want to say one other thing about that, Jay I don't know that team has done a great job. I mean, that team has been in place for a really long time, they've been executing in this marketplace for a really long time and I think we said this early on after the acquisition. When we make acquisitions, one of the things you really count on is having a solid management team to lead it and we definitely got that with First Alert.
Jay Geldmacher: Yes, I've agreed 100%.
Operator: Thank you. We go next now to Paul Dircks of William Blair.
Paul Dircks: Hi, good afternoon. Thank for taking my questions. So first question for me within Products -- the P&S business, can you remind us here at the end of 2022, what percent of sales are by channel OEM versus distribution et cetera and maybe you could tie into that comment what gives you confidence that first quarter will in fact be the destocking a low point?
Tony Trunzo: Let me try to answer the second part of that question, because you're going to send us scrambling for numbers here to try to provide some context. We track -- I think we've talked about this last quarter, but for our top 26 trade customers we get information from them and collaborate with them and we get not only our sell-in, but their point of sale and their inventory levels in terms of days, as well as their sort of inventory level objectives. And what we've seen particularly in January is that we talked about this last quarter too, I think, at that time. I think we were a little uncertain as to the slope of the decline and just how far it was going to go and how long it was going to take, I think we're coming out with the feeling that Q1 is going to be the low point and the point-of-sale data that we're seeing is still pretty darn good, inventory levels have come down not to the desired levels, but as point of sale continues to hold up, I think we feel like maybe there'll be a little less destocking than we had originally anticipated as well.
Paul Dircks: Got it. That's helpful. Okay, I guess maybe I can follow-up offline regarding the sales guys. [Multiple Speakers]
Tony Trunzo: I got roughly trade plus or minus 40% OEM somewhere in the 25% zip code.
Paul Dircks: Okay, I appreciate that. Thank you. Next question for me, speaking about the manufacturing optimization plans, go back I realize it's a different market, but in early 2021 at your Investor Day obviously manufacturing optimization, that was one of the key components behind the 2024 operating margin target of 20% to 30% in P&S. So I guess maybe today can you help me walk through what the right read is thinking about what's realistic for an operating margin target exiting 2023? And I guess related to that as well, is there an internal appetite, I'm almost sensing there is to start fast-forwarding beyond manufacturing optimization plans you've announced here today to accelerate those plans and to try to bring some of those savings to the P&L here exiting the year?
Jay Geldmacher: Let me make a couple of comments, I don't know if Tony has some follow-up on. As I was mentioning a few minutes ago, we have a -- I think a really good playbook of things beyond what we even at the time of the ‘21 Investor Day. And again, we were very cautious during ‘21 and ’22, because of the world we're all living in, but there is definitely opportunity there, and it isn't just factory optimization, it's factory automation, it’s automation, it's a variety of different things that we have access to and levers on as part of the playbook for this. And as I said before, I'm excited about being able to leverage the strength of my operations group that we have to take a look at these opportunities to even though we thought through a variety of different dynamics as Tony had talked about before that we have the opportunity to take that and move those levers and benefit by. Let's see Tony's.
Tony Trunzo: Yes, I guess -- so Paul, from my perspective, we are -- there are clearly other actions to follow on beyond what we reserved for in Q4. The cadence of those we're going to manage, I would say, somewhat more carefully. The business cases remain at least as strong as they were two years ago. So the opportunity is at least as good as it was then. And we did not have the another call-out to first where we didn't have to the due to the factory automation, factory automation opportunity in those plans in ‘21 and we think we're going to learn from First Alert over the next year, year and a half, but we think that's pretty real as well. So the opportunity suite there is significant and probably bigger than it was in ‘21. The cadence at which we unwind it we're going to be patient, because we were successful over the last couple of years making sure that we were able to meet our customer demand better than others and to be a good supplier and to build those relationships, and I would say that we have more of a focus on supply chain resilience today than we maybe did then. So, we're going to balance those two things as we proceed through what's going to be a multiyear process.
Paul Dircks: Got it. Very helpful color. Last one for me and switching to the ADI business, I agree with your comments that the performance and the outlook into 2023 is quite a bit better certainly from the margin side than many other distributor peers. I do think part of that has to relate to your investments internally and expanding the business increasingly into the digital world. So my question is, could you remind us of the margin difference for your business touchless versus traditional? And also maybe could you talk briefly about some of the other investments whether it's into increasing channel business or perhaps expanding into adjacent categories or into further exclusive brand sales that you think will be powerful drivers here in 2023?
Tony Trunzo: You just gave an excellent list. [Multiple Speakers] I guess so a few things, the difference in margin between touchless and sort of in branch is not huge, it's there but it's not huge. The real motivation behind our migration to touchless relates to some other initiatives, which is around sales enablement and creating and enabling our branch associates to do what they do best which is to be collaborative, consultative sales folks and to work and build relationships with our customers that are enduring, but also provide the appropriate level of margin for us. So maybe that's a little bit of a different view than maybe just we want to push it all to touchless because we want to drive cost out of the brand because we want to get margin just exclusively from that action, it's a more nuanced approach than that, and if Rob's listening, he probably think I butchered that explanation, but it is a nuanced approach. The exclusive brands piece is -- that margin differential is significant and the growth trajectory in that business has been significant, and as we've talked about, we are very focused on being a great partner with our third-party suppliers and we're not going to stop that, but we have found that there is an ability to grow that exclusive brands business in ways that in don't harm the third-party relationships at all, and in some cases, they are fine with it. So I think those two things are really the critical investments but I'd also call out, I mean, we -- the operating expenses in that business relative to sales have not gone down and we could have driven them down and we didn't and we are in the position that we're in today, because we made those investments, and this year there was going to be another chunk, because we're building out the new ERP system that I think is going to drive sort of the next wave of initiatives that enablement around the business.
Jay Geldmacher: The only thing else I'd add, and you mentioned that is the adjacent space and I think we've talked about what adjacencies that they've moved into a very successful with and still growing like datacom and so they are continuing as part of their own strategy will continue to look at that as other opportunities there, that's not a complete adjacency like slip out in left field that they match up well with the rest of the products that they offers. So they’ve done a nice job with that.
Paul Dircks: Appreciate the color. Thank you, guys.
Jay Geldmacher: Thank you.
Tony Trunzo: Thanks, Paul.
Operator: Thank you. We take our next question now from Brett Kearney at Gabelli Funds.
Brett Kearney: Hi guys, good afternoon and thanks for taking my question.
Jay Geldmacher: You bet.
Tony Trunzo: Hey, Brett.
Brett Kearney: You talked about some in your prepared remarks but was curious how you I guess point about finding that it sounds like an interesting engineering acquisition and I believe you said New Zealand, obviously it sounds like it fits with the software platforming initiatives you have underway. But just broadly what your vision is, I guess longer term, you talked about the actionable intelligence you might be able to offer to contractors and customers, what you see these capabilities are unlocking for yourselves and customers over medium-term?
Jay Geldmacher: Yes, I would say, Brett, that software for opportunity, but also the hardware, the hardware work that these guys have done up to this point in time, what it provides us now in terms of new products are accelerating new products along with what we have internally before the acquisition that we're really excited about it and we believe they can really, two plus two equals eight. And the innovative capability of this group is very impressive in terms of -- I believe we're just talking about it in a meeting earlier this morning, where they can provide a lot of additional capabilities to many of our other products too. So I think on hardware, software opportunities, AI, I mentioned in particular that we talk one following up on a question that came up on security, but the video analytics things, some of the video cameras that we have coming out this year, they're going to do some really cool stuff for us. So we're really excited to share a lot more with you guys on that as we move forward, but that deal we got ramped up frankly after around the Christmas timeframe and I spent time with the Founder and CEO of the company out CES with a bunch of our teammates, brainstorming ideas and things together and they've integrated very quickly into the company, which is great and it's a good cultural fit. So, we're excited about that.
Brett Kearney: Great, thanks so much guys.
Operator: Thank you. We got next now to Brian Ruttenbur of Imperial Capital.
Brian Ruttenbur: Yes, thanks very much. Quick question, first of all, hopefully on finance. Price increases, you talked about potentially in 2023, what were your total price increases on average in 2022 and were there any push back from 2022 and do you anticipate any pushback on price increases, potentially in 2023 given the market?
Tony Trunzo: So the '22 price number was plus or minus $200 million. I think we're looking this year at price increases substantially less than that, a fraction of that. I don't know exactly what number I'd give, but it's going to be substantially less. The -- in large part because of the collaborative way that we tried to do the price increases, they stuck. Nobody, us included, is happy what we see increases in cost, right. But we've worked collaboratively with our customers and our channel. And by and large they stuck this year the price changes, like I said, are going to be much, much more modest and they're going to be targeted to areas where our costs are increasing and where the channel is going to be in a position to support it. So we've really tried not to get out over our skis and take advantage of this environment in any way, shape or form.
Jay Geldmacher: And I'd just add that and Tony mentioned it, but then the opportunity for the price to be more sticky, and I think the way that we do, the way that Tony explained, that's how you do that. Now we months from now, 18 months from now, if everything gets back to more of a normalcy up inflation, that's all different. We'll see how that goes, but I think that's I think Tony spot on for this year in his comments.
Brian Ruttenbur: Is there -- just as a follow-up, is there a seasonality to your standard price increases, is it the spring, is that the fall, if you could just remind me of normally when you would impose those price increases potential?
Tony Trunzo: Usually I mean historically we saw we did get some in the spring. Over the last couple of years, it's been -- there hasn't been that level of seasonality.
Jay Geldmacher: Yes, it's just tied to some of the dynamic, the unique dynamics that we've all gone through together over the last two years. I'd also say the strong brands that allow us to help them also on the price too. So I think that's been another factor for us.
Brian Ruttenbur: Great, thank you.
Jay Geldmacher: Thanks, Brian.
Tony Trunzo: Thanks, Brian.
Operator: Thank you. And gentlemen, it appears we have no further questions this afternoon. Mr. Willey, I hand things back to you for any closing comments.
Jason Willey: I'd like to thank everyone for their participation today and we look forward to speaking with you over the coming weeks and months. Everyone have a good day. Thank you very much.
Tony Trunzo: Thanks, everybody.
Jay Geldmacher: Thank you.
Operator: Again, ladies, gentlemen, that does conclude today's Resideo Technologies fourth quarter 2022 earnings conference call. We'd like to thank you all so much for joining us and wish you all a great evening. Good bye.